Operator: Hello, and thank you for standing by. Welcome to Solana Company Third Quarter Operating Results Conference Call. At this time, participants are in a listen-only mode. After the speaker's presentation, there will be a question and answer session. To ask a question during the session, you will need to press star 11 on your telephone. You will then hear an automated message advising your hand is raised. To withdraw your question, please press star 11 again. I would now like to hand the conference over to Serena Jassy, Investor Relations. You may begin.
Serena Jassy: Before we begin, I would like to inform you that comments and responses to your questions during today's call reflect management's views as of today, November 18, 2025, only, and will include forward-looking statements and opinion statements including predictions, estimates, plans, expectations, and other similar information. Actual results may differ materially from those expressed or implied as a result of certain risks and uncertainties. These risks and uncertainties are more fully described in our press release issued earlier today and in the sections entitled Risk Factors in our annual report on Form 10-K filed with the United States Securities and Exchange Commission or the SEC on March 25, 2025, and in other subsequent filings with the SEC. Our SEC filings can be found on our website or on the SEC's website. Investors are cautioned not to place undue reliance on forward-looking statements. We disclaim any obligation to update or revise these forward-looking statements. Please note that this conference call will be available for audio replay on our website under the news and events section of our Investor Relations page. With that, I would now like to turn the call over to Solana Company's Executive Chairman, Joseph Chi. Thank you.
Joseph Chi: Good morning, everyone, and welcome to our first earnings call since we successfully raised over $500 million to fund our digital asset treasury strategy in September. I'm Joseph Chi, the Executive Chairman of Solana Company. I'm honored and pleased to be able to work with the capable board of directors and team closely since my appointment. Additionally, since 2017, I have served as the founder and chairman of Summit Capital, one of the earliest licensed funds in Asia that invest in the crypto blockchain sector. One of the co-sponsors for the PIPE transaction and now one of two strategic advisers to Solana Company. The Solana digital edge rate digital treasury strategy and the PIPE transaction mark a new beginning for Solana Company as its shareholders. Pantera Summer is committed to providing strategic support to accelerate the growth of the company going forward. The US dollar's $120 million investment by Pantera is the single largest cash investment in Pantera history. Pantera, together with Summer Capital and its ecosystem partners, accounted for roughly half of the total capital raised, underscoring their conviction in Solana Company's strategy and long-term potential, and the company's commitment to deliver results. I believe the background experience that Pantera and Summer give HSCT both global reach and institutional credibility. Since the closing of the PIPE transaction, we are now squarely focused on executing our digital asset treasury strategy. We aim to incorporate all of the learnings from our strategic investors about what has worked well, and what hasn't worked to really hone the plan. As we look forward, there are three pillars of execution we are focused on: advocacy, capital markets, and treasury management. First, let's talk about advocacy. Our goal is to maximize shareholder value and we believe we can do so through maximizing Solana per share accumulation. One key underlying assumption here is that Solana itself is worthy of investment. Therefore, our number one job is advocating for Solana or telling the Solana story to help investors understand why Solana is a compelling asset. Solana has become the most widely adopted and financially productive blockchain in the world. It now processes close to 80 million transactions per day with a median fee below one-tenth of a cent and provides a native staking yield of more than 7%. That combination of throughput, affordability, and productivity is why we believe Solana is the only blockchain that's both economically sustainable and institutionally relevant. We see that in the numbers, Solana is the number one chain in decentralized exchange volumes, the leading platform for stablecoin payments through integration with PayPal and Stripe, and one of the fastest-growing ecosystems for real-world asset tokenization with activities from firms like BlackRock, Franklin Templeton, and Apollo. It is definitely one of the most secure and decentralized blockchains built for institutional adoption. Our focus at HSDG has been on advocating for Solana matters not only to the crypto-native community but also to mainstream and traditional financial institutions globally. We believe this broader audience will ultimately determine which assets are relevant. As part of the effort, we have been productive in reaching outside of the crypto echo chamber and bringing Solana's story to the institutional world. Since our launch, HSDD has already appeared more than 10 times on main media such as CNBC and Bloomberg, helping bridge the conversation between traditional equity investors and the Solana ecosystem. Our adviser, Dan Moorhead, my partner, Cosmo Zhang, and I have been actively participating in media interviews, podcasts, relevant conferences, and events to promote Solana Company and its underlying assets not only in the US and UK but also in Asia and the Middle East. We and the Solana Company were featured in many local print and digital press in the regions mentioned. Each of these opportunities reinforces our central message: Solana's speed, cost efficiency, and real-world adoption make it one of the most credible and investable assets in our industry worldwide. Since we are the designated DAT to support Solana Foundation APAC region, we have traveled with the Solana Foundation senior management to Beijing, Shanghai, Hangzhou, Shenzhen, Hong Kong, and Singapore in the last two months. By organizing and attending multiple conferences, panels, and gatherings intensively over a few weeks, we have managed to reach out to thousands of people, including developers, investors, universities, research institutions, regulators, and industry partners, including major tech companies, to advocate for the Solana blockchain ecosystem. The enthusiastic participation on location and the conversations we had with the local communities made us realize that Asia is probably the single largest underpenetrated market with the highest potential for Solana. We believe it also has the largest population of keen users, developers, tech companies, and entrepreneurs ready to embrace the high-performance Solana blockchain. This outreach is translating into results. Trading volume in HSCT has meaningfully outperformed the average of peer DATs, including other Solana DATs, reflecting a growing awareness of Solana's fundamental confidence in a DAT model. We view this as an early indicator that our advocacy strategy is working, and investors are starting to view HSTT as the public gateway to Solana. As we committed to the investors during the fundraising process for the PIPE transaction, we have been focused on running the business with best market practices and the highest level of governance, diligence, and care. Cosmo will go through the outstanding results we achieved with the instantaneous activation of the ATM for fundraising, the tactical approach to Solana accumulation, and the rigor and discipline we apply through staking. We believe Pantera as the asset manager has delivered stellar results all around since we started with a new strategy. Just to reiterate, we are attempting to build a Berkshire Hathaway of the Solana ecosystem that compounds shareholder value and trades at a premium with a strong balance sheet, a clear strategy, and the expertise of a team that's experienced with DATs and is shareholder aligned with meaningful ownership. With that, I will turn it over to Cosmo to elaborate more on our strategy in Capital Markets and treasury management, and let's take a closer look at our third-quarter financials.
Cosmo Jiang: Thank you, Joseph. I'm Cosmo Jiang, a Director for Solana Company and General Partner at Pantera Capital. Pantera brings deep experience as a digital asset specialist investment firm. Pantera was the first blockchain-dedicated institutional investment firm starting in 2013. Pantera anchored the first deals that catalyzed the digital asset treasury boom earlier this year, including coining the term DAT or debt. And as such, have unmatched experience in digital asset treasuries as well as the U.S. Capital markets broadly. I will now discuss the market environment and our launch progress. Now let me take a step back. It is important to acknowledge the broader market backdrop. Over the past several months, the digital asset treasury market has cooled after a period of rapid expansion earlier in the year. That is not unexpected. From an investor's lens, when I think back to what I mapped out as the white space roughly six months ago, now in our view, much of that white space has been taken. We just witnessed the creation of a whole new category of businesses over the last seven months, and the creation of a new category can only happen once. I believe this initial genesis phase of new dApps being launched is now largely over. Now that we see the white space as largely taken, we believe the industry is entering the execution and consolidation phase. The barriers to entry are a lot higher now for new entrants. Most DATs will be outcompeted and have uninteresting outcomes, ultimately resulting in healthy industry consolidation. We at Solana Company anticipate that this will be where the strongest DATs will prove themselves out and win out through operational excellence and capital discipline. We believe the best DATs can be amazing long-term outcomes for both shareholders and token holders. Those with credible management teams, transparent reporting, and durable token per share growth. We believe we have the ingredients to do so here at Solana Company. Our balance sheet strength, institutional sponsorship, and operational focus give us the foundation to continue building even in a more selective environment. As part of the company's continued commitment to maximize SOL per share through disciplined execution of its digital asset treasury strategy, including capital deployment, active on-chain management, and transparent reporting, Solana Company has increased its holdings of SOL by $100,000 or $100,000 in the first month of operation to a total of over 2,300,000 tokens. The company also still holds $9,800,000 of cash and stablecoins, which it intends to use to further the digital asset treasury. For the month of October, the company's average gross staking yield was 7.3% APY. This performance was approximately 36 basis points better than the 6.67% APY stake-weighted average of the top 10 largest validators over the same period. Solana Company's SOL holdings are primarily through institutional-grade validator infrastructure with rewards automatically restaked to compound returns. This staking yield translates to consistent daily on-chain revenue generation while preserving full liquidity and custody of underlying assets. Let me elaborate on the next two of our execution pillars, capital markets and treasury management. Capital market strategy is one of our pillars for execution, a driver of Solana per share growth. The objective is straightforward: to maximize tokens per share, disciplined capital formation, and balance sheet management. We are focused on ensuring that every financing decision, whether equity or equity-linked, is structured to be accretive, meaning it increases the number of SOL per share for our existing shareholders. As mentioned earlier, we have launched our ATM program and recently also announced a share buyback. The ATM is an important tool for a DAT. It allows us to access liquidity continuously and on efficient spreads rather than relying on episodic and uncertain capital raises. The buyback is an important complement. Whether we are trading at a premium or a discount to MNAV, we now have the flexibility to act in ways that maximize Solana per share growth. When we trade above our NAV, the ATM allows us to issue accretively. When we trade below NAV, we can use other tools such as share buybacks. Beyond that, we are evaluating structured equity transactions including convertible debt and warrant-linked financings that could provide flexible, non-dilutive growth capital while monetizing Solana's inherent volatility. Finally, we are open to participating in M&A within the DAT ecosystem. As we move from the launch phase of the market into the execution phase, we believe consolidation will naturally occur. HSCT is well-positioned to be an acquirer where it makes strategic sense, particularly in cases where smaller DATs trade below 1x MNAS and can be integrated accretively. Now to treasury management. As the asset manager, Pantera's expertise is really helpful here. That experience is already reflected in our execution. On our Solana purchases, we have been deliberate and data-driven. Our average cost basis is approximately $220 per SOL, to about $240 at launch, representing roughly a 10% improvement versus a passive approach. On the validator side, we've also been disciplined in how we stake. In October, as mentioned above, we outperformed our peers, and that comes from careful validator selection, MED capture, and continuous rebalancing. We believe that is a meaningful amount of outperformance versus what any individual investor may be able to achieve, and even many other publicly traded Solana DATs. Looking ahead, DeFi yield opportunities are on our roadmap, but only where we can identify risk-adjusted returns that make sense. We are carefully evaluating counterparty, smart contract, and regulatory risks before deployment. The goal is not to chase yield, it is to grow tokens per share in a sustainable, risk-controlled way. We believe through this approach of disciplined accumulation, active validator management, and selective yield enhancement, we are building a treasury that compounds value per share, not just one that holds tokens passively. I would now like to turn the call over to Dane Andreeff for updates on the company's legacy business, its orally applied technology platform.
Dane Andreeff: Thank you, Cosmo. At its core, the company was founded as a neurotechnology company dedicated to addressing neurologic deficits through its innovative orally applied technology platform. This proprietary platform enhances the brain's ability to activate physiologic compensatory mechanisms, promoting neuroplasticity and improving the lives of individuals with neurological conditions. The company's first commercial product, the portable neuromodulation stimulator, or PoNS, exemplifies its mission to advance neurorehab through science and technology. The company has made some exciting progress over the past quarter, both clinically and strategically. The PoNS stroke registration program study was successfully executed, resulting in positive clinical outcomes. The successful results of the stroke registrational program supported our PoNS device submission for FDA 510(k) designation filed under its current FDA breakthrough device designation. Statistical analysis for the functional gait assessment primary endpoints demonstrated PoNS' superior effectiveness in improving gait deficit by achieving a clinically meaningful mean improvement compared to the control group, reflecting the clinical significance of this therapeutic intervention. In the third quarter, we have seen increased US activity, including increased VA and cash sales. This has been supplemented by additional out-of-network third-party reimbursement. We are happy with the progress made at Healius this quarter and would like to reiterate our excitement that this strategic evolution represents Healius' next chapter as Solana Company. By aligning its corporate strategy with the Solana Foundation and the broader Solana community, Solana Company positions itself at the intersection of breakthrough neuroscience and digital asset innovation, uniting two powerful platforms for sustainable growth and technological progress. I'm excited for the future of Solana. Now I would like to turn the call over to Jeff to cover the financial results.
Jeff Mathiesen: Thank you, Dane. Our financial results include the $500 plus million PIPE transaction that closed on September 18, 2025, and related DAT activities from that date through the end of the quarter. Our third-quarter revenue of $697,000 included first-time staking rewards income of $342,000, comprising the majority of the increase from the prior year period. For the third quarter, the cost of revenue was $103,000 compared to $187,000 for the prior year period, mainly due to decreased inventory reserve and production scrap expenses. Selling, general, and administrative expenses for 2025 were $4,600,000 compared to the $2,900,000 reported in 2024, with the increase comprised of a $101,500,000 discretionary bonus in the current year. Research and development expenses for 2025 were $900,000 compared to $1,100,000 in 2024, driven primarily by reduced clinical trial activities. Unrealized loss on digital assets of $30,500,000 resulted from the net change in fair value of digital assets held by the company as of quarter-end. Total operating expenses for 2025 were $36,000,000 compared to $3,900,000 in 2024. The resulting loss from operations for the third quarter of 2025 was $35,400,000 compared to a loss of $4,100,000 for the prior year period. The current year non-operating loss in the third quarter of $317,300,000 included a $545,700,000 loss on derivative liability attributable to the valuation of the staples warrants from the September PIPE transaction and $194,700,000 of financing costs from the September PIPE transaction, including a $171,300,000 non-cash charge from the advisory warrants issued and an $8,600,000 non-cash charge for shares issued to Clear Street, offset by a $423,300,000 gain from the change in fair value of the derivative-related derivative liability from those stapled warrants as of September 30, 2025. We reported a net loss for 2025 of $352,800,000 or a loss of $32.89 per share. We had a net loss of $3,700,000 in the prior year period or a loss of 744.35¢ per basic and diluted common share. At September 30, 2025, we had $124,000,000 in cash and $350,200,000 of digital assets at fair value for a combined total of $474,200,000. Also at that date, we had a combined total of 75,900,000 common shares and prefunded warrants outstanding. Finally, as of November 17, 2025, certain provisions of the 2025 stapled warrants related to adjustments of the Black-Scholes inputs in determining the warrant value in the event of a fundamental transaction were amended. I'll now hand it over to the operator for questions.
Operator: Thank you. Ladies and gentlemen, as a reminder to ask a question, please press 11 on your telephone, then wait for your name to be announced. To withdraw your question, please press 11 again. I'm showing no questions in the queue. I would now like to turn the call back over to Joseph for closing remarks.
Joseph Chi: Well, thank you all for joining the Solana Company third-quarter operating results update. We are pleased by the strategic change and progress we have made this quarter and look forward to sharing further updates next quarter. Thank you.
Operator: Ladies and gentlemen, that concludes today's conference call. Thank you for your participation. You may now disconnect.